Gunnar Pedersen: Good morning, everyone, and welcome to this third quarter presentation for Vow. For technical issues with the network in the auditorium, we had to do our last minute move into this conference room. So it's a bit packed in here, but we certainly hope everything is working out to your satisfaction and that everyone is receiving this webcast. So today, I have Cecilie Hekneby, with me, our CFO, to do the presentation of the financials. My name is Gunnar Pedersen. I'm the CEO of Vow. So I'm going to share with you some highlights first. Cecilie will take you through the financials. I'll come back with the market and business update before we go into summary and outlook and finally, open up for questions. So starting off with Q3. So Q3 was a very busy quarter across the whole company, especially in Maritime Solutions, where we had record high revenues. We also continued our structured assessment of the company. And in Q3, specifically, we did some deep dive into the big industrial projects. What we found was that there was 2 big projects that had underestimated cost to completion, which has impacted the margins and also leading to a reversal of revenue. Cecilie will take you through the details of that. And also it's been published in a notice earlier in October. So in the Maritime Solutions segment, we've had record high revenue and also a very positive development on the margins, perhaps a bit on the very high side compared to what you normally should expect. This is due to a reduced share of legacy contracts, but also the project mix. So a lot of equipment deliveries, different types of equipment have different margins, and this quarter has been very fortunate in -- or favorable in terms of the mix. The Aftersales segment continues its positive development, improving margins, whereas the volumes is about the same as the third quarter last year. Year-to-date, however, is a good growth on Aftersales. Our Industrial segment has been facing challenges in terms of underestimated cost of completion, as mentioned. On a high note, what we've formally talked about as the large reactor from Evensen that was finally delivered to follow last week. So very pleased with that. Some questions have come across on this. It doesn't have a big impact on the revenue, but it does have a very positive effect on the cash flow, as it triggers some payment milestones. Liquidity has improved significantly with very good inflows. And also, we've been able to settle outstanding payments to our vendors. And also it's worth noticing that the covenants were waived for Q3. Our total order backlog stands at NOK 1,449 million with another NOK 134 million in options. So this provides us with a very good visibility into the future. Order intake as of end third quarter is NOK 1,082 million. I should perhaps mention that the delivery of the reactor was subsequent to the quarter. And by that, I think I can leave you with Cecilie to do the financials, and I'll come back for the market update. Cecilie?
Cecilie Margrethe Braend Hekneby: Good morning. I will give you an update on the financial numbers. This is just an executive summary that actually summarize what Gunnar just said. So before I start with the walk through of the financial numbers, I would like to address the notification published in October, and there are specific events that led to the announcement. As explained in the stock market announcement, a review of the 2 major circular solution projects reveal that total cost to completion next year had been underestimated. The reduced project margins and technical reporting of progress on costs led to a reversal of revenue in the quarter. The 2 projects constitute a major part of -- in the Industrial Solutions segment and the preliminary consolidated numbers for the group, indicated a lower-than-expected EBITDA for the quarter. This was still at an early stage in our preparation for the third quarter reporting, but we consider this as inside information that could not be delayed and issued a trading update. Phase 1 of Follum and Rhode Island represent significant milestones for our pyrolysis technology, and an SVP Program Director was appointed at the end of September to strengthen coordination, execution and financial control for the projects, reporting directly to Gunnar. He and his team then performed a total review of the remaining scope, risks and handover requirements and found that total cost of completion was underestimated. And as a result of this reassessment, a onetime cost increase was recognized in the Q3. So how does this impact revenue? Revenue from projects is recognized based on estimated total gross margin for the project according to technical reporting of progress. The contracts for these 2 projects are predominantly fixed price with limited flexibility for price adjustments. The updated cost estimates, therefore, led to a reduction in total gross margin and hence a reversal of previously recognized revenues but with no cash effect. Circular Solutions is a key area within the Industrial Solutions segment, delivering to the industrial scale pyrolysis market, which is still maturing. With these 2 projects now entering the final stage, we expect increased cost visibility and tighter cost management going forward. We aim to be transparent in our reporting, but I understand that it may be challenging to follow the financial development for the last quarters. Vow has been in a challenging financial position. And since I started in May, my team and I have worked diligently to secure consistent and precise reporting to get control and provide insight. So this slide sums up what I just have explained, and I will now go through the numbers for the quarter, starting with the key financial for the group. The reporting currency is in Norwegian kroner. So reported revenue for the quarter was NOK 214 million compared to NOK 267 million 1 year earlier. And on the graph on the left-hand side, you can see minus NOK 6 million in revenue for the Industrial Solutions segment, following the reversal of revenue and softer performance in the remainder of the segment, with higher revenues in the Maritime Solutions segment and steady numbers in Aftersales. Moving on to the graph in the middle, we have adjusted EBITDA of negative NOK 29 million, heavily impacted by the financial performance in the Industrial Solutions segment. The order backlog of NOK 1.4 billion remains strong and gives good visibility. Total revenue was NOK 214 million, down NOK 53 million from Q3 '24 heavily impacted by the Industrial Solutions segment. But revenue in the Maritime Solutions segment of NOK 166 million is all-time high following progress on large newbuilding contracts and up NOK 73 million from last year. The year-to-date numbers for Maritime Solutions are impacted by the catch-up effect in Q2. Aftersales make a solid contribution with NOK 54 million in the quarter. This is up 3% from third quarter last year, but up 11% year-to-date. Revenue in the Industrial Solutions segment is down NOK 128 million from Q3 last year and NOK 136 million from year-to-date following the cost of kits and reduced margins for the 2 projects, in addition to the soft performance in the remainder of the segment. Moving over to the operational key figures for the quarter. Revenue is, as explained, heavily impacted by the updated cost of completion estimates that overshadowed the strong performance in the Maritime Solutions and Aftersales segments. I would like to highlight the development of gross profit and employee expenses. Being a project organization, employee hours linked to specific projects are attributed to the cost of goods sold. The group has during the year improved its time tracking and hourly rate position. With a more accurate attribution of employee hours to specific projects, a larger share of personnel cost is now currently classified under COGS as recovery hours. This, in turn, improves the alignment between project costs and actual resource usage, which provide better insight and basis for pricing of projects. Reported employee expenses, hence vary with project activity and hours allocated to projects and are down NOK 17 million from Q3 last year. Gross employee expenses, including the recovery hours amounted to NOK 58 million in the quarter compared to NOK 64 million last year. Employee expenses are also impacted by a change in the allocation of holiday payment compared to last year, with a higher cost in the second quarter this year and lower this quarter following when employee actually were on holiday, impacting production. NOK 2.5 million of nonrecurring items in the quarter are related to employee expenses. Other operating expenses amounted to NOK 21 million, up NOK 3 million from last year. EBITDA for the group was negative NOK 31 million, which is slightly higher than the preliminary EBITDA from the trading update in October. EBITDA adjusted for nonrecurring expenses were minus NOK 29 million. Let's look into the development of the segments. Vow has 3 business segments, Maritime Solutions, Aftersales and Industrial Solutions, in addition to Administrative, which consist of expenses not allocated to the business segments. There were no nonrecurring items in the business segments. The nonrecurring expense of NOK 2.8 million in the quarter is related to the Admin segment. Adjusted EBITDA for the Maritime Solutions segment was NOK 29 million in Q3, up from NOK 7 million 1 year earlier, following strong revenue development stemming from high delivery volumes in addition to increasing margins as the share of legacy contracts are decreasing and replaced with new contracts with revised terms and conditions. The backlog of NOK 1.2 billion is firm and provide long visibility. Gunnar will share some details on this in his part. Aftersales continue to grow with an increasing number of vessels in operation equipped with Vow systems. Adjusted EBITDA amounted to NOK 10 million in the quarter, up from NOK 7 million last year, indicating an adjusted EBITDA margin of 17%, up from 13% 1 year earlier. The Industrial Solutions segment was impacted by the cost updates and reduced margins in addition to soft performance in the quarter in the remaining parts of the segment, leading to a negative EBITDA of NOK 65 million in the quarter. Focus forward in this segment is on selected opportunities with reduced risk and exposure profiling. Moving over to the financial performance in the quarter. We see that financial costs have been reduced. Financial items in the quarter of negative NOK 13 million or NOK 1 million lower than last year. Interest costs amounted to NOK 12 million, which is down NOK 5 million from Q3 last year. There was a net foreign exchange loss of NOK 1 million in the quarter, while there was a gain of NOK 3 million last year. Vow reports in Norwegian kroner, but most of the contracts are in euro. About 60% of the project costs are in the contract currency and is a natural hedge. Fluctuation in foreign currency exchange rates may, however, have an impact on key financial figures, and we have started to look into alternatives to mitigate the risk. Depreciation in the quarter of NOK 12 million is down NOK 2 million from third quarter last year. And I also would like to highlight that following the sale of Vow's shares in Vow Green Metals in June, the share of net loss of NOK 3 million and a gain NOK 1 million is recognized in the year-to-date numbers. Looking at the balance sheet. I would like to highlight the development of trade receivables and trade creditors. Since I started in May, managing working capital with improved processes for collection of debt and payment to vendors has been a key priority. Trade receivable bills have been reduced by NOK 75 million year-to-date, the cash collected has been used for settlement of overdue supply debt and other liabilities. And trade creditors are reduced by NOK 102 million year-to-date. Prepayments to vendors are also significantly reduced. Having managed now to settle overdue debt, our working capital is steadily improving and net working capital has been reduced by NOK 32 million year-to-date. Interest-bearing debt of NOK 557 million including leasing has increased by NOK 87 million year-to-date due to the increased utilization of the credit facilities, partly offset by reduction in borrowings. The DnB term loan amounted to NOK 195 million at the end of September, down from NOK 262 million at year-end '24. The group obtained a waiver for the 12 months rolling EBITDA ratio covenant, and we are in close and constructive dialogue with DnB. Looking at the cash flow development, we started 2025 with NOK 46 million in cash and at NOK 34 million in cash at the end of June. At end of September, cash amounted to NOK 23 million, with an additional NOK 26 million in available liquidity. There has been high activity in the quarter, and the illustration highlights the main development in the quarter. During the quarter, there has been an inflow from trade receivables of NOK 80 million. In addition to milestone payments, we have succeeded in collecting overdue receivables. The cash has been used to repay overdue trade payables and other current debt in line with management's focus in addition to repayment of loans and interest. Having resolved the overdue payables, the overall financial position has improved. Liquidity is significantly improving in the fourth quarter, following a large milestone payments, both from the maritime side and industrial side, and I am satisfied to see that measures taking are starting to show results. At the Q2 presentation in August, we informed that we had initiated a profit improvement program. The target of the program is to strengthen cost control, improve profitability and increase operational efficiency. And we have identified concrete measures and defined several hypothesis. Example of this are related to cost down, operational efficiency, service cost and indirect spending. The program is under implementation and is part of the budget process for next year. It is implemented based on feasibility and expected effect and several actions are already taken. This was a rather detailed walk-through of the financial developments in the quarter, and now Gunnar will give you a market and business update.
Gunnar Pedersen: Thank you, Cecilie. So we're going to start this market and business update with Maritime Solutions. And as you can see on the bottom left-hand graphics, Maritime makes up about 53% of the revenue so far this year with NOK 365 million. The main contract entered into in this period is EUR 11.5 million for advanced environmental systems. Additionally, there's several smaller contracts amounting to a total of EUR 2.9 million for various other deliveries. Order backlog stands at a very strong NOK 1.2 billion, which is 49%, up from the third quarter last year. And also margins, as I mentioned, in the quarter at 17.7%, EBITDA are very positive. And as I said, it's due to very high delivery volumes of equipment also with a favorable mix of the deliveries. So looking into the Maritime contract development and a little bit more about the backlog. We have been talking about legacy projects in earlier presentations, and we have received questions about these legacy contracts. So how much of the revenue is made from legacy contracts, and at what time are you going to be completed with those deliveries. And on the lower right-hand graph, you can see how this plays out. The top dark blue one from the left, is from new contracts, whereas the lower part is from legacy contracts. So looking at Q3, there is 35% of the revenue coming from new contracts whereas the remaining 65% is coming from legacy contracts. And you can also see, and this is based on estimates of when deliveries are taking place and so on, we have made an estimate how this is going to play out through 2026 and into 2027. So you can see that, for example, in fourth quarter, new contracts will be about 43% and so on. It can vary a bit up and down. That depends on the contracts and the delivery time of these contracts. That's why you see a bit fluctuation on the split between new and legacy contracts. It is also a fact that we may even enter into new contracts that are legacy contracts, so that would be options, options that are binding to us in terms of price, but options that are valid from quite some years back. Currently, there is one remaining option that we will classify as a legacy contract. Yes, I think that's about as good explanation as I can give here now on the legacy contracts and that part. So looking at the backlog and the pipeline, this graph on the right-hand side shows when the vessels are scheduled for delivery from the yard to the cruise line. And typically, we deliver equipment 18, 24 months before, sometimes it can be as little as a year or even less than that, depending on the type of project. But this is typical. So this year, there's 10 vessels, next year in '26, another 10. '27, there are 7 vessels to be delivered that are under contract, there's 2 that we're bidding for. And you can see going out in time how this grows. So '28, bidding for 7, another 3 -- no, 7 under contract and another 3 that we are bidding for. And '29, 1 under contract, 1 option and 13 that we are bidding for. So currently, the backlog is 37 confirmed orders for cruise ships and 1 option. The tendering activity, currently activity tenders, 59 new builds and 4 retrofits. So it is a very active market, and it has a very good visibility. So we hold a leading position, and we are maintaining our market shares. Looking at where we have delivered equipment this year, in total, we are going to deliver to 18 vessels, 13 have been delivered, another 5 systems remain to be delivered in Q4. So Q4 is also going to be very active for us. And on the lower left-hand side, you can see what cruise lines we have delivered to you or are delivering to this year. So it's all the major ones basically. So on your right-hand side, you can see Norwegian Aqua. It's commissioned in February this year. So handed over to the customer in February this year. It can hold about 5,200 people, passengers and crew all in all. It was built at Fincantieri at the Marghera yard, and we have delivered a full scope of traditional systems, both for advanced wastewater processing but also for waste disposal on this vessel. This is number 3 in a series of 6 vessels that they build for NCL. So this year, we have commissioned 9 vessels. There is 1 more to go for the fourth quarter. And you can also see here on the bottom, which cruise lines, they are being commissioned for or delivered to them. So all the major ones on this as well. And of course, that's another 10 vessels entering into aftersales. I've had the opportunity to meet with the several of the big cruise lines in the third quarter. And it's been, of course, very interesting meetings and conversations. It is very obvious that well-functioning systems is critical to their operation. In some cases, if these systems don't work, they cannot operate the vessels. Actually, that's in quite many of the cases. Our customers generally express that they are very satisfied with our systems as well as with our aftersales support. But as always, there is room for improvement, and thus, we see this as opportunities, and we are working on these opportunities to make sure that our customers are even more satisfied in the future. As you can see, bottom left-hand side, aftersales accounted for 25% of our revenue so far in 2025. We see a strong development over time on the right-hand side, Q3 54 versus 53 in Q3 last year. That's not a big jump. But if you see the year so far, it's quite good growth on that as well. It varies a bit over time when they order spare parts, when they order services and also in terms of chemicals for the systems. So strong development over time. Also in the graph, the metrics, you can see very healthy margins now, and we're very satisfied with that. Part of it comes from high volume over the year, giving an effect. So -- but this is a healthy level, I believe. So for the Industrial Solutions. The Industrial Solutions segment again, as you can see on the bottom left, it accounts for about 22% of our revenue as per third quarter, so NOK 150 million. It consists of the main subsegments Circular Solutions and Thermal Heat Treatment. With 2 major projects within Circular Solutions that make up the majority of the revenues. We already touched on the deep dive and the effects on the margins on that. It is, of course, very unfortunate when we find such issues in the projects. And of course, we have taken a few steps to ensure that we learn from these. These are first of a kind projects both of them. So this is really important that we spend our time wisely and learn as much as possible from them. The effects I think we have talked about earlier in the presentation. Just to touch on thermal heat treatment, still see a soft market in Q3 not so much due to energy prices anymore, but other uncertainties. But we do see positive indications related to both defense industry and aluminum, and we'll probably get back to that on the next slide. So industrial contract development, again, circular and thermal heat treatment, order backlog stands at NOK 212 million, of which, NOK 152 million is circular and NOK 60 million shared among the other subsegments. So we've been asked sometimes about some of these projects that have been talked about in earlier presentations such as end-of-life tires. I chose that example just to give you an update on that specifically. So we have completed FEED studies, and we are waiting for final investment decisions from one of the major customers. And they are in turn now waiting for the final piece of the puzzle, which is the permitting. And the permitting for that is expected to be due by the end of the quarter. What we see in thermal heat treatment, we see an improving pipeline with opportunities and some of these opportunities have resulted in RFQs and some of the RFQs have also resulted now in active bids in thermal heat treatment. So the volume of active bids is actually quite high, and we are pleased to see that development. VGM, Vow Green Metals have been mentioned earlier today. And I must say they are gaining momentum now, commissioning is ongoing at Follum for Phase 1. Engineering activities are ongoing with ourselves and VGM and others for Phase 2. The large reactor, which is actually part of Phase 2 was delivered last Thursday. That's what you see on the picture. The big is white plastic that is wrapped in. So it's 60 tonne of equipment being lifted into the production facility. So it is looking good. It is also worth mentioning, I think, that VGM was awarded EUR 26.2 million from EU Innovation Fund to build a new large-scale biocarbon production facility in Norway. So of course, this is very interesting for us. It is strengthening the positive development for the metallurgic market segment for biocarbon. And I think we are well positioned to continue playing in that development. We also mentioned that we're revisiting our strategies in the second half of the year, even though they are not concluded yet. I think I can share a few glimpses of where we're headed with you here today. It will come as no surprise that within the Maritime segment, we really want to strengthen our competitiveness. We also continue to introduce new technology, new and sustainable technology also into the waste disposal part of that market. We will continue developing our aftersales services. Within industry, then supported by a more defined strategic direction, I would say. We will exercise a more selective approach with regards to the type of prospects we go after and also the contract formats within the industry segment. And then with a solid operational foundation, I think we are prepared for moving from analysis and into execution, delivering improvements, capturing opportunities and also then creating long-term values. Also, we believe that it is important for us as well as for our investors that we can also deliver on an improved overview and predictability for the development and for the values that we are creating. It is very helpful internally. I can tell you to understand the cost of the deliveries, allocating the cost to the right place and so on. So that work will continue. And I certainly hope that you will see the results of that as well as we move along. The strategy work is scheduled to be concluded by the end of Q4. So we'll get back with more info on that. So finally, summary and outlook. Our customers confirmed a very strong market development in cruise and yards are actually still expecting to conclude on several contracts that we are actively bidding for during the fourth quarter. We have maintained our strong market position. And also, we see a positive development of the margins. And we will see that continue as the share of legacy contracts is going down as we saw on the earlier slide. We have healthy margins in aftersales and a growing active fleet will continue to bring growth to that segment. The revisit of our strategy will be concluded in the fourth quarter. And I think with a much better oversight and control of the financial situation, I'm confident we will also see a very positive development continue on our liquidity. And of course, we do this in a very close collaboration with our bank. So that concludes the presentation, and now we open up for questions.
Unknown Attendee: Thank you. There are quite a few questions already from the online audience. I just remind you that if you are watching this online, you can add your or send in your questions by typing it on your screen. But first, let me see, are there any questions from the audience here in Oslo. Seems not. While you're thinking about that, let's turn to the online audience. First question is regarding the backlog and pipeline in Maritime Solutions. One observant viewers says, he has compared the Q2 presentation with the current presentation, it seems that some of the bidding, some of the contracts that you're bidding for '26 and '27 has been removed from the chart this time. Is that correct?
Gunnar Pedersen: I'm actually not sure about the details, but if I understand the question correctly, if we -- for contracts that we do not win, I expect they will disappear from the charts, not ending up as contracts. External analysts tell us that within advanced wastewater processing, we have had indications anything from 60% to 80% market share. So there are contracts we do not win. And within waste disposal, it's slightly lower.
Unknown Attendee: Then there's a question about liquidity. You -- so you have NOK 22.7 million in cash at the end of the quarter. Will you need to raise more money?
Cecilie Margrethe Braend Hekneby: We see an improving situation regarding liquidity and -- and we -- I am very satisfied with the development in the quarter that we have now settled overdue payments to vendors and that we have managed to collect receivables. That also was overdue. And now with significant milestone payments coming in in the fourth quarter, we see a very positive development on liquidity.
Unknown Attendee: And will there be more surprises in industrials? Or do you now have a better understanding on the underlying problems?
Gunnar Pedersen: It would be quite stupid on me to guarantee anything. These are first-of-a-kind projects. But what we've done with a thorough deep dive on them, I'm quite confident that we know what the remaining work is and we know the cost of the remaining work. So not what we have seen here. And then I think everyone who deals with new technologies and new markets understand that there may be smaller hiccups along the way. We're well prepared for that. We're actually planning for some of these and to find them as early as possible. And in most cases, I think I can say we have also alternative solutions to that ready. So I don't expect any big ones.
Unknown Attendee: You also talked about a large customer in industrials waiting for permitting. Do you have any signals that they will move forward with you if that permit is given?
Gunnar Pedersen: Yes.
Unknown Attendee: Then there are -- you have mentioned in the past quite a few studies going 4 or 5 years back studies with names like Unipetrol, Repsol, what can you say about these studies and early projects? What is the status?
Gunnar Pedersen: Yes. They are very interesting. All these studies because it's studies based on different types of feedstock and how you process and what you want to come out of the process. And I think certainly, our customers learn from those. In some cases, we actually do test runs for them, and we take tests of whatever comes out to certify quality, to look at types of emissions and so on, and that is used as part of the permitting process. So I would say that we've learned a lot about different types of applications of the technology. And it is also very clear to me that our customers are learning along the way, learning what is going to be a business case for them or not. And I think if you look across the industry and different studies that are made, it's kind of coming together what everyone think is going to be a very profitable one, at least to begin with and what could potentially become very profitable later on.
Unknown Attendee: There are 2 more questions from the online audience. So we're, I guess, nearing the end of the Q&A session, but let's take the next one. What is the installed base of Maritime Solutions in terms of number of vessels as well as number of systems?
Gunnar Pedersen: I've heard a number, but I cannot remember it, but it is quite a significant number of systems. So in the hundreds.
Unknown Attendee: And there is a follow-up on the cash and liquidity situation. Can you be more specific in terms of what you expect in terms of cash inflow in Q4?
Cecilie Margrethe Braend Hekneby: We do not guide on the cash position at year-end. But as I already presented, we are -- I'm satisfied with the development. It has been quite challenging for the company over time. But we see a significant improvement. So I'm looking forward to report the fourth quarter.
Unknown Attendee: Then there is actually one more. You have previously talked about return to 15% EBITDA. Now you report 17% to 18% for both cruise projects and aftersales. What do you expect in terms of margin expansion going forward?
Gunnar Pedersen: I don't think we guide on that either, but we are seeing healthy margins in some areas. And we are definitely working to continuously improve. I think it is also important to say that when we are able to, for example, reduce cost on producing and delivering equipment, some of those improvements, we need to use those to improve our competitiveness to ensure that we are still competitive. We have high market shares, there is only one thing you can be really sure of, and it's that your competitors are hungry, and they will do everything they can. So you need to be forward leaning and work on the cost and you need to be prepared to share some of your improvements.
Unknown Attendee: And there is one more. With covenants based on 12 months rolling net interest-bearing debt over EBITDA, you're likely to be in breach several quarters ahead. How will you address this problem?
Cecilie Margrethe Braend Hekneby: Well, we are in close and constructive dialogue with the DnB. We are working on -- we see an improved liquidity. We are working on the -- to build a more profitable company. And I'm sure that we together find a good path.
Unknown Attendee: Thank you. There are no further questions. Back to you.
Cecilie Margrethe Braend Hekneby: Thank you .
Gunnar Pedersen: Okay. Thank you, everyone, for watching.